Operator: [Operator Instructions] This call is being recorded on Thursday, February 20, 2025. I would now like to turn the conference over to Matthew Keevil, Director of Investor Relations with Ivanhoe. Please go ahead.
Matthew Keevil: Thank you, operator. Good morning, everyone. It's my pleasure to welcome you to the Ivanhoe Mines Fourth Quarter and Annual Financial Results Conference Call. As the operator mentioned, this is Matthew Keevil, and I'm the Director of Investor Relations and Corporate Communications with Ivanhoe Mines here in not so sunny Vancouver. On the call today from Ivanhoe Mines, we have Founder and Executive Co-Chairman, Robert Friedland; President, Marna Cloete; Chief Financial Officer, David Van Heerden; Chief Operating Officer, Mark Farren; and Executive Vice President, Corporate Development and Investor Relations, Alex Pickard. We will finish today's event with a question-and-answer session. [Operator Instructions]. Do please contact our Investor Relations team directly, if your question is not addressed during the call. Before we begin, I'd like to remind everyone that today's event will contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Details of the forward-looking statements are contained in our February 19th news release as well as on SEDAR+ and at www.ivanhoemines.com. It is now my pleasure to introduce Ivanhoe Mines' Founder and Executive Co-Chairman, Robert Friedland, for opening remarks. Please go ahead, Robert.
Robert Friedland: Thank you, everyone, and greetings from California where we're on route to a major mining convocation in Miami, Florida. This is a great pleasure to present our annual results which is a result of the efforts of over 30,000 people working at Kamoa-Kakula and our other operations. And with that, in respect of this fantastic year, I'd like to turn this over to Marna.
Marna Cloete: Thank you, Robert. That was brief and welcome, everyone. In the background, is a photo of our newly-constructed smelter, the largest in Africa and one of the largest of its kind in the world with a capacity of 500,000 tons of blister anode. It's currently being commissioned and with heat up -- we anticipate to heat it up within the next two months or so. Next slide, please. We had a very busy year in 2024. We completed the Phase 3 project, which included an additional 5 million ton per annum concentrator, and we are already putting plans in place to increase [Technical Difficulty] additional mining footprint, Kamoa 1 and Kamoa 2 together with Kansoko to feed this plant, and this enabled us to produce over 457,000 tons of copper for the year. We have set out guidance for 2025 of between 520,000 and 580,000 tons of copper, with the aim in excess of 600,000 tons of copper from 2026 onwards once our optimization and debottlenecking projects are complete. We also completed the construction of the smelter that I mentioned earlier. And as I mentioned, that commissioning is underway. We expect the smelter to contribute to our margins towards the latter part of this year with a reduction in our transport cost, sulfuric acid by product sales as well as a reduction in our taxes. From a cash flow perspective, Kamoa-Kakula generated over $3 billion in revenue and over $1.8 billion in EBITDA at an average C1 cash cost of $1.65 per pound of copper produced. We also started production at Kipushi in the middle of 2024, and we reached commercial production in the fourth quarter. Guidance for zinc production is set between 180,000 to 240,000 tons of zinc in concentrate for 2025, and we want to achieve an excess 250,000 tons of zinc and concentrate from 2020 onwards. It's been a busy week for our team. So earlier this week, we also published an updated independent Phase II and Phase III study of our Platreef mine in South Africa. And that sets the bar for Ivanhoe to become a world-scale, lowest gas platinum group metal producer together with nickel and copper by product. And in the Western Forelands, we have drilled in excess of 80,000 meters in 2024 and we are busy analyzing what all of this means, but more on that later. Next slide, please. But the record we are probably the proudest of is the one that's contained on this slide. As you can see, we trended well below the industry average in terms of our total recordable injury frequency right, and this is across the group. This is extremely remarkable if you take the growth of our company together with the amount of construction and expansion projects, that our staff have worked on. And you can see some great statistics specifically around our project teams at the bottom of the slide. On the next slide, we are away at compiling our 2024 sustainability report. We plan to publish that probably in mid-April. And a few key highlights for the year is contained on this slide. Our local workforce is over 90%, of which 10% is female. And at Ivanhoe, we have a 30% female ratio. That's quite significant in the African context. We've concluded a number of assessments, including a group-wide Scope 3 assessment a human rights assessment at both Platreef and Kipushi and we've updated our human rights assessment at Kamoa and we're also busy with our global industry standards on tailings management assessment at both Platreef and Kipushi. We move on to the next slide. This is the first time I think is our equity shareholders this slide, but this is the pie chart that shows the shared value model in terms of what we share with the DRC in general over the life of mine of Kamoa-Kakula and as you can see as a result of the 20% shareholding in Kamao-Kakula of the benefits we will create over the life of these assets, asset 54% will flow through to the DRC and we believe this is a very sustainable model of doing business in Africa. It is true that conflict in the East is gaining momentum, and there is increasing pressure on the parties involved to engaging constructive dialogue to resolve this conflict, this kind to the east of the country. It's in excess of 1,500 kilometers away from our operations outside of Kolwezi. We are ever actively engaging various stakeholders as the situation unfolds and we have comprehensive contingency plans in place at both Kamoa and Kipushi. With that as an introduction, I will now hand over to David van Heerden, our Chief Financial Officer, to take you through our financial results.
David van Heerden: Thank you, Marna, and good day to everybody joining the call today. If you can move over to the next slide. Kamoa-Kakula achieved its highest ever annual revenue of $3.1 billion in 2024, and that's at a realized copper price of $4.09 per pound. Revenue was up from $2.7 billion achieved in 2023. The record annual EBITDA of $1.8 billion was delivered at a very healthy margin of 58%. Kamoa-Kakula achieved record quarterly sales in Q4 2024 [Technical Difficulty] cash flow generation and the cash flow growth. 2024 concluded the fourth consecutive year of production, revenue and EBITDA growth at Kamoa-Kakula, and 2025 will again be a step up. The three years EBITDA growth is shown on the left of four years EBITDA growth shown on the left-hand side, with the graph showing the cash generated by operations on the right. After excluding working capital movements, but net of tax and finance charges. This clearly illustrates that after significant investment in Phase 1, 2 and 3, Kamoa-Kakula has already returned $4.7 billion of cash in just 3.5 years. We also show the income tax paid in dashes to explain the relatively lower operating cash flow in 2024. But it's important to note that, $520 million income tax paid in 2024, more than half of that was provisional tax payments of this year's tax liability. So it's not really reflective of what the relative size will be in the future. Moving to the next slide. Kamoa-Kakula's EBITDA waterfall illustrated on this slide just highlights that the 8% year-on-year EBITDA growth was driven principally by our increased production and the higher copper price throughout the year. Logistics charges was relatively lower year-on-year, while the re-measurement of provisioning price sales had a $59 million negative impact with most of that being in the fourth quarter of 2024, as I already noted. Of the increase in costs in 2024 $71 million or 35% was driven by the power, where generators were used in 2024 to protect production levels. Input power is all utilized in 2024, which is relatively more expensive than [indiscernible] power in the DRC. Realization costs were 13% higher, driven by the higher year-on-year copper price while -- and the remaining relative increase related to mining with Phase III and ramp up for part of the year and where we expect efficiencies to increase in the future. Next slide, please. Yes, we've achieved our cash cost guidance for Kamoa-Kakula again with the 2024 cash cost ending at $1.65 per pound of payable copper produced. The fourth quarter cash cost was 4% higher than in Q3 2024, with more than half of that increase being attributable to the higher power costs as generated power was used to minimize the impact of the intermittent power on production. Of the $1.75 per pound cash cost in the fourth quarter, $0.22 related to power, that's highlighted in the shiny white boxes as part of our cash cost. That since then more than the $0.12 per pound in Q2 2024. But more importantly, production was maintained in the fourth quarter because of this additional spend. As we look forward in the next slide, our cash cost guidance for 2025 is $1.65 to $1.85 per pound of payable copper but at the peak. The smelter and the cheaper power from snow when Inga is complete, will drive a decrease in our C1 cash costs. But the results of both those will only really have an impact from the second half of the year. The possible 3-month lane starting the smelter was a consideration in setting the range, and but Mark will discuss both the smelter and the progress on Inga later on in the presentation. Looking at the pie chart on the right, it's easy to say, why the smelter will drive down our cash costs in the future. As it will at minimum half our logistic charges, which equated to 27% of our C1 as we will only truck 50% of the current volumes. And then there's also, of course, the benefit of the sale of sulfuric acid, which the smelter will produce. Looking at Kipushi for the first time. Kipushi achieved commercial production in the fourth quarter of 2024, but still in ramp-up. The quarter's result really representative of what we expect from Kipushi in 2025. Kipushi sold 17,000 tons of zinc at a cash cost of $1.3 book bound of payable zinc and the Kipushi mine produced 32,000 tons of zinc in concentrate in the fourth quarter and 50,000 zinc for the year. Cash costs during the quarter were higher than what is expected in 2025 and due to it still being in ramp-up and the higher zinc production expected in 2025, as a result. So the 2025 cash cost guidance range is between $0.90 and $1 per pound of payable zinc. If we move over to Ivanhoe's consolidated results on the next slide. Ivanhoe recognized normalized profit, which excludes the fair valuation of the convertible notes, which we redeemed mid-2024 of $386 million for 2024. This was at the same level as 2023, as we had higher share of profit from Kamoa-Kakula in 2024, but we increased exploration expenditure on the Western Foreland with the convertible notes redeemed in 2024, gone, thankfully, are the reason for us to differentiate between profit and normalized profit going forward. Our group-level adjusted EBITDA was $624 million an annual record for Ivanhoe. And the principal driver of our adjusted EBITDA was again our share of EBITDA from Kamoa-Kakula, but Kipushi will start to contribute more meaningfully in 2025. With Kamoa-Kakula Phase III now in full swing, the smelter expected to ramp up soon and even Platreef starting Phase I production in the fourth quarter of this year. The graphs will continue to grow. Next slide. Our continued investment in growth was a key priority for 2024 and our expenditures of each of our projects was within our guidance. And we have reached the tail end of the Phase III and smelter spend at Kamoa-Kakula with the immediate focus, turning to value-accretive projects like Project 95 and the throughput optimizations. At Platreef, we will continue to spend towards Phase I and the acceleration of Phase II while we are basically done spending on CapEx at Kipushi. We have been able to arrange the project level facilities we required throughout the year. And as I will touch on later, had a very successful note raise, enabling further growth funding. But we have reached the peak of our CapEx-spending profile on which we can see on the next slide. This illustrates quite nicely that, it's the peak. The chart shows our pro rata attributable to CapEx, 2025 of our guidance ranges. And it's clear that, while cash flow from operations will increase in the coming years. Our need to reinvest that into CapEx is expected to reduce pretty quickly. Next slide. We were very pleased with our inaugural senior unsecured notes offering that closed in January at 7.85%. As part of the process, we got credit ratings from Fitch and S&P, both a notch better than the sovereign rating of the DRC, which would normally be the benchmark. We will -- we were able to achieve this improvement through highlighting the DRC's favorable repatriation regime that allows you to receive your revenue in an offshore account. We also set ourselves a net leverage target of 1x through the cycle. And on the right-hand side the screens sort of how we guide of how our capital structure should be looked at. We include not only the debt in Ivanhoe mines level, but also our proportionate share of the Kamoa-Kakula joint venture debt. Looking at it this way, we had a low leverage ratio of 1.36x at the end of 2024, including the pro forma impact of the notes. But this will reduce below 1x pretty quickly with the EBITDA growth expected at Kamoa-Kakula and Kipushi imminently. I'll now hand over to Alex Pickard, our Executive Vice President, Corporate Development and Investor Relations to commenced operations and project update presentation.
Alex Pickard: Thank you very much, David. As David mentioned, I'll start with some of the production highlights at Kamoa-Kakula and then I'll hand over to Mark Farren to tell you about some of the details in terms of the optimization projects we're working on. You can see another -- it's a really fantastic image here of the director blister smelter that was completed, at least the construction was completed in January. I think we can go to the next slide. We achieved another production record, consecutive production record at Kamoa-Kakula of 437,000 tons of copper, which is an 11% year-on-year increase. And that's obviously in part due to the ramp-up of Phase III that happened in the second half of the year. I'd say, as much as the team did fantastically well at Kamoa-Kakula to deliver this production. It does feel like, an unfinished business to some extent, given that we were dealing with intermittent grid power through the year. We could have perhaps produced 40,000 tons additional copper or more had we had consistent grid power 100% of the time. So that really highlights why it's so important in terms of the power initiatives we're working on at the moment. In terms of the recoveries, they were very close to 87% for the year, which is quite good considering that Phase III was in ramp up. So you would have seen higher recoveries at Kakula slightly lower recoveries at Phase III. But actually from this year onwards, we're basically hitting the in-place parameters at Phase III as well as Phase I and II. Marna mentioned the production guidance for the year, which is 550,000 tons of copper at the midpoint. And then from next year onwards, we are targeting 600,000 tons of copper for Ivanhoe as the power improvement projects and some of the low-hanging fruit growth initiatives, such as Project 95 are completed. Next slide, please. So we like this slide, because it really gives a good impression of the Phase III ramp up. So you can see that, that concentrate has started in June, which again, was ahead of schedule, so full credit to the project team for executing on that. And then, it was also a very, very successful ramp-up in terms of reaching its nameplate and actually exceeding nameplate design parameters in terms of throughput in the third quarter. The month of December was a record at 47,000 tonnes. So you can see that, we're already operating at about 550,000 tons annualized production, which is the midpoint of that guidance range. I think on the next slide, I will hand over to Mark just to give a bit of an update on, where we are with the smelter and the ramp-up there.
Mark Farren: Thanks, Alex. If you look at the smelter in a picture, you don't really see the size of the complex, but I must tell you guys, it's the most complex project ever executed in the country in the DRC. It's a very modern complex. I think we've done very, very well to get it to where it is. And it's basically mechanically complete. We're busy with the C1, C2, C3 commissioning. We will probably move the heat up, which is actually basically your C4 feed or heat up in first feed into next quarter. And that's basically because we want to secure a very stable source of power for that heat up. And we did speak about power earlier, I will touch on power in a slide or two, but it's important for the smelter itself to get stable power. So I think all-in-all, it's mechanically complete. We're ready to get going. It will start up this year. The ramp-up to 90% will take about nine months generally. It's a big complex with a lot of work that goes into getting it up to steady state. It's not like a concentrator or just a mine. To give you some idea, we've had to train 1,000 people to be ready to be able to run the smelter, because there's nothing of it sort anywhere in the country. We've seen people overseas. We've brought in people, experts from all over the world. So it's a proper global team with a very strong owners team that we put in place to actually get direct to blast to smelter working. So I think as a work in progress, something that we've done in the DRC. I'm very proud of this project. I think it's probably the ground on top of everything else that we have done. As Marna and Alex say, it gives us an ability to not only drop costs enormously, but to add a lot of value by selling the asset and also contribute to the economy, inside the country. I can move to the next one. So power, we speak about the power just about every time. And we spoke about using 40,000 tons copper last year. It's not the volume of power that we didn't have. It's more instability. In identifying the projects that we've been executing in the country, let me just talk a little bit about them. We did a big turbine basically replacement or complete rebuild of a power station, which was Managua. That was a few years ago, it executed, I think, from 2016 odd successfully and introduced that power into the grid. And then we took on Inga, which is G25. Inga's about 1,500 kilometers away from the mine site. It generates power and then it gets transmitted through a direct current line and then it gets reconverted into alternating current at 220 megawatts. That project is not just as simple as putting in a new turbine. We've had to do a study across that grid, and we've identified a lot of other work, which needs to be executed to get the stability right. So within this year, there will be a lot more work done and executed, to make sure that not only do we execute G25 but we also stabilize the grid. So for those that are technical in the call, it's filter banks, it's synchronous compensators that are being upgraded at the moment and then a static compensator that's going in at Kolwezi, which is on its own a $40 million investment. So we're investing quite heavily in not only generation, but also getting the transmission and the stability in the grid sorted out at Inga. In addition to these measures in the country, we're pursuing other projects. So megawatts of solar, we've already identified and shortlisted two 30-megawatt projects, which will start execution. In other words, physical RPP order placement, at the end of this month, and we're looking at the next two. So as a minimum, we will have 60 megawatts of solar with backup batteries on site with a 95% availability. We'll have that in 18 months between 1-2 and 18 basically that generation will be available to us. We're investing, I think, it will be in excess of $5 million when we finished with now to improve their base load and the stability of the network and also the generating capacity, that I've spoken about earlier. And then in the short term, we're importing power from that southern grid. So from Zambia, from Mozambique and in the longer-term, we'll be looking at Angola. And maybe if I can just talk a little bit about that. So there are steps in this. At the moment we have 50 megawatts mainly from Mozambique, well, there's a drought in Zambia, and I think people are aware that there's a drought in the shortage of water in the battling with the turbines. But in that southern grid, there is enough capacity to be able to import generation and reticulation has been the short-term bottleneck at the moment. So in that short-term bottleneck, we also have identified a project ourselves to be able to create a transmission network from Zambia all the way through to our own, what we call MRO, which is our power station, our network right within the footprint of the mine. So that would sort of get us off the dependency of the SNEL network as another network, let's call it, where we can have our own power reticulated from where ever generated from wherever, but through that line from Zambia into the DRC and on to our footprint. And then longer-term, Angola is worth mentioning, they have a generating capacity in excess of 30 gigawatts more than what they require. So it's really a matter of taking excess generation capacity and then moving that into the Southern grid -- and the Southern Grid, I mean Zambia, down all the way down to Mozambique through South Africa and they're north to us in the DRC. So those projects are all underway. And I think if you look at the big picture, we do unlock power in this year and in the longer-term. And if you look at the graph on the right-hand side, you'll see that it little star thing, which is basically your diesel generators, peaking at about 200 megawatts and then staying flat. That capacity should become completely redundant with the planning that we've put in place to get imported power right to get solar power working and then obviously the work inside the country. And then, it's the longer-term network stability and the imports that we're creating for ourselves as well with dedicated lands. We have a full project team behind power. My best people in our project team, our owners team working on power and all these different initiatives are being managed every single day to de-risk power for us and enable us to grow. The green one says that we're going to about 400 megawatts as a requirement for the mine. That's basically Phase I, Phase II, Phase III and some are Phase IV. We want to be able to execute more projects over time and other projects will include, for example, the Western Forelands. So we're looking at all of that, we take it into consideration as we develop the mine. And everything we've done, if you look at our past and you look at us going forward, we've always had to do these things. We've always had to take on challenges and resolve them. And this is exactly the same. It's nothing different from anything else that we do. Thank you. If you move to the next slide. And then just talking about the future a little bit. Project 95, which is basically taking our current recovery of Phase I and 2 from 87%, 88% to 95%. That project is well in execution. It will be complete at the end of this year, quarter one next year at the very latest. And that will give us an extra 7% copper without any additional cost or very little additional cost because remember, you're mining it, you're treating it and it's going to go straight to your top-line. It's going straight to your revenue line. So I think that was a very good decision to do. And then just below that, we're talking about Phase III. I think Alex mentioned it or Marna mentioned it, that we've just commissioned Phase III as a 5 million ton operation. We believe with a little bit of tinkering a little bit of upgrading. It will be stable at 6.5 million tons, taking the complex currently -- the current complex Phase I, Phase II, Phase III to about 17 million tons per annum. We want to do that quickly. It's not going to be expensive. And then, we're also going to target some optimization on that plant to get the recoveries from the 88%, 89% to 92%. We believe it's very, very possible. And then there is -- for everybody on the call, there is a Phase IV. This is definitely a Phase IV, and that will be over 20 million tons when you look at it, if you add it -- it's probably also a module of 6.5 million tons, which would take us to about 23 million tons. The timing of that and the cost of that we're still working on, that will be out in quarter two, but it is exciting. The results look excellent. And just maybe just interest to get another phase in, would be really capitalizing a concentrator and some development underground from the current infrastructure that's already been created. So I don't believe we need to establish new mines to get up to the 20 million, 23 million tons per annum. And there's potentially an upside here, where we can do something a bit early and early works that get some tons for us, some copper tons for us early and then obviously, the fresh ore coming in when the ore reserves are in place. But we'll discuss that in detail in quarter two. Thank you.
Alex Pickard: Thanks, Mark. It's Alex Pickard, again. This is quite hot of the press yesterday, we announced landmark updated study results for Platreef Phase II and Phase III expansions. And really, these studies show the pathway for Platreef to become not only the lowest-cost precious metals and nickel and copper producer in the world, but also among the largest primary PGM producers in the world. There's two studies. One is a feasibility study for our Phase II expansion. So that's up to a throughput rate of 4.1 million tons per annum. It includes the Phase 1, which is substantially built already, and Phase I will be starting up in Q1 of this year. Phase II will be coming a year earlier in 2027. And then the second study is building from that footprint to Phase II and II, a scoping study for a third expansion which can take place from 2030 and really at that sort of level, that's when you're making the most of the scale of the Platreef body underground, and you get up to 1 million ounces and above our production. I'll show you that on the next slide, where we have a schematic. So you can see Phase I and Phase II, which are covered by the feasibility study. The key milestones are the commissioning of the concentrator, which was completed in the middle of last year. So that will take place in Q4 of this year. And then the major milestone and Mark will give you some of the project updates on these shafts. But the major milestone is coming in Q1 of next year, which is when we have Shaft #3 hoisting. So that will basically increase our hoisting capacity by 4x, we'll have 5 million tons of total hoisting capacity. What the chart shows is the buildup of the mining rate over time, which allows you to build a stockpile and basically bring on a Phase II concentrator, which is 3.3 million tons per annum in late 2027. So that's Phase II. At that point in time, Platreef is producing around 450,000 ounces of the four precious metals, so Platinum palladium, rhodium and gold and then 16,000 tons of nickel and copper quite a significant by-product. Then the next phase is really driven and dictated by the completion of shaft #2, which is also in progress. This is a 10-meter giant of a shaft. It will be one of the biggest shafts in Africa, if not the world. So that shaft will be ready for hoisting men and materials from the end of 2028, and then ready for hoisting or in waste from 2029, which will really be the facilitator for the Phase II expansion, which is building to identical modules to Phase II, so 3.3 million tons per annum each, which takes your total milling capacity up to the 10.7 million tons per annum. And at that level, you are producing over 1 million ounces of four precious metals plus over 40,000 tons of nickel and copper. So one of the largest sulfide, nickel producers in the world at that point in time. And then also, this is basically a fraction of the overall resource footprint of Platreef. There is a huge amount of exploration potential. We haven't actually done any exploration drilling at Platreef in over 10 years. And we only really stopped because we had enough to build a multigenerational mine already. The next slide shows some of the key financial highlights. I think what this really confirms is, what we already knew about Platreef is why we are 100% committed to building Platreef and bringing it online. Number one, it's a very long-life asset. So on the basis of the reserves only, there's a 35-year mine life on the basis of the PEA. There's still a 30-year mine life despite the fact that you are producing at a huge scale. It's also a very, very low-cost asset. And the reason for that is, because you have bulk underground mining methods, it's a 30-meter thick ore body, and you also have the advantage of very large nickel and copper byproducts. So even though we've updated all of these numbers quite comprehensively, we still have an all-in sustaining cost of $700 per ounce for the feasibility study. And I would note that, that also includes the impact of the fuming transaction, which was not presented in our previous study. And then in terms of CapEx remaining for Phase I and II, it's $1.2 billion. There's a small sliver of CapEx to finish Phase II this year. And what we are planning to do over the course of the next year is a range financing facility for at least 50% of that CapEx, which we should hopefully have in place in 2026. So in terms of the economic results, what you can see is that, Platreef generates very strong margins through the cycle. We've used consensus prices here, but I think it's not too long ago in recent memory that palladium prices, for example, were more than double where they -- well, maybe triple where they are today. And that's the reason why we build this asset, because it will make money at any price, but there will be years Platreef maybe making even more than Kamoa-Kakula. And then, in terms of NPV and IRR, I think those numbers speak for themselves to build a very long life and very low-cost assets. I would just highlight for the PEA, one of the things about the PEA is that, we've substantially overbuilt the infrastructure during Phase 1 and Phase 2. The shaft #2 is included in that $1.2 billion, which is why you only have about $800 million in expansion Capital, which is basically building those two additional 3.3 million tons concentrators on surface and building up your mining fleet. And you also have the opportunity to bring down your overall cash costs further the larger that Platreef become. So I think those numbers for the larger PEA are quite outstanding. This is putting the production levels into a benchmarking form. So you can see that the four million tonne feasibility study places Platreef is one of the largest PGM mines or primary PGM mines in the world. And then at the PEA scale, we will be, if not the biggest, certainly one of our few PGM producers. What you can also see here just in terms of the shaded area is the contribution that the nickel and copper make to the Platreef basket. So it's roughly 30% of the overall basket, which gives Platreef a nice diversification that other mines don't have. And finally, just looking at the cost curve to give an impression of those margins. So you can see that, even with all of the updated numbers and even with the inclusion of the stream, we are still projected to be the lowest cost primary PGM producer in the world. You can see the basket price overlaying there. So clearly, there is still a lot of the industry is struggling to make money and certainly struggling to continue investing in sustaining CapEx at current spot prices, which is also one of the reasons why we are comfortable investing in this asset on a slightly countercyclical basis. I'll pass over to Mark just to give an update on the construction progress.
Mark Farren: Thanks, Alex. Okay. So if you think about it, we had a ventilation shaft, which is Shaft 1 that went through. We called it, I think, a bulk sample shaft that went down and then we equipped it to get underground access to Shaft #2. Shaft #3 and Shaft #4 may need to get to raise board through. So that was actually very good. But if you also think about it, that one single shaft has been doing everything, every single thing on the mine to handle all the underground development. It handles all the men and material and putting down LHDs and equipment every single day and the raise bore chips with the meters. So we really needed to get shaft #3 in place to be able to get something meaningful out of this footprint. And all of this stuff happens at about 1,000 meters below surface or 950 in terms of shaft #3. So the Shaft #3 ventilation shaft, we decided to refinish it, and then equip it to West and that's what Alex was talking about, to be able to hoist 5 million-odd tons out of this footprint that we have created, while we're still waiting for Shaft #2. The end of that work is within sight, thank goodness. So by the end of this year, quarter one next year, we should be hoisting out of shaft #3 which I'm going to use the words, unlocks. It unlocks the potential of this mine. And the differentiating factor between this mine and anything else is the ore body. The ore body is running at about 20 to 30 meters thick. The equivalent grades of other mines, they're running at about a meter, mineralized, a meter, maybe 1.5 meters. So it's -- they're going to be a mechanized, automated operation, and it will be the lowest cost producer. Unfortunately, it's going to displace some of the other mines in the longer-term. So where we are is finally some flip and light at the end of the tunnel, which is not a train to get Shaft #3 hoisting, which I'm aiming at the end of this year, quarter one next year at the latest, and then we can grow the production. So what it actually means is your Phase I is in completely derisk because there's no pressure on hoisting tons and your shaft #2 and your Phase II can also go as fast as you like because you can handle the chips from Phase II which would then be the sloping line actually and the final thinking. And then you can ramp up seamlessly from, let's call it, Phase I and Phase II. Sort of in chunks that are curable like we did at Kamoa except understand that this is down about 950 meters with three levels that you're operating. So it's slightly different. But once you enter that ore body, you can ramp up very quickly. Yes, next slide.
Marna Cloete: Yes, I'll take over. So I think sometimes in order for us to look forward, we need to look back a bit. And this picture that you see in front of you is the way Kipushi looked back in 2023, after we cleared all the surface delapidated infrastructure. Kipushi has been in the Group since 2011, and it took a massive amount of effort to dewater this mine and to upgrade the underground infrastructure. And then if we flip to the next slide, we can see what Kipushi looked like today. This is the plant at Kipushi and Kipushi is really a world-class mine at and hold its own anywhere else in the world. So really a significant achievement. We can flip to the next slide. Last year, we brought Kipushi into production. We inaugurated the mine. It was basically under care maintenance for a period of 30 years. It took us a bit of time to ramp up and we achieved commercial production in the fourth quarter. And our quarterly zinc production was in excess of 32,000 tons of zinc in concentrate at a grade of 29%. And we're working on increasing recovery at Kipushi. And I'm hopeful that all of that will sort of unfold in this first quarter of the year as we continue with our growth projects. If I can maybe just ask you, Mark, to speak the audience through what we anticipate in terms of our growth projects at Kipushi over the next couple of months. And you can flip to the next slide.
Mark Farren: Okay. So the guidance for this year is the $180 million to $240 million. There's a little bit of work. It's not big work, which is basically committed. It's really upgrading of pumps. It's a couple of clarifiers. There's some work on DMS, but there's nothing massive to be done. And there's still lots of -- let's call it kilowatts or megawatts -- a small amount of megawatts left on the mill to be able to take the production up. And the number for me is to get it stable between like a 250,000 and 300,000 tons of capacity -- of production per year of zinc -- that work is happening. The big steps are -- the milestones is really, the first milestone is in May, and then the second one is October. We also, for example, on this mine are creating enough, generating capacity for the rolling blackout issues, if there are rolling blackout issues in parallel to us doing the stability work on the grid. By the end of this year, we'll have full redundancy with generators, although it's expensive. We will have full redundancy on the mine, if we need it. I doubt very much that we're going to do it that we're going to need it. But the debottlenecking stuff is going to give us, like I said, a nice increase without much work. Underground, the mine is excellent. The conditions are lovely. The ore body is very predictable. It's very easy to mine. We've got our aggregate, our cement, aggregate backfill plant working, everything is working. So I don't see major issues here, to get it stable, to get it operating beautifully, a very high-grade mine. I think, we've disclosed many times and it's like a 31%, 33%, 35% zinc. Some of the months we're going to mine 40% zinc as feed grades, where the next in the world, I think the next big mine is running at 7%. So we're absolutely in a very solid position at Kipushi to tweak the concentrator and keep the mine going really nicely. We've looked at the pyrite as a circuit, a new circuit. And the reason for that is because we need pyrite around in our smelter at Kamoa. So the new smelter requires about 700 tons per month of pyrite, and we can get it from Kipushi at the right quality. So that circuit, I think we will commit within this year and execute that project. It adds some mone not that much, but in the context of Kipushi, it's meaningful money. So we're excited about, number one, ramping at above nameplate, which we're doing. And the second thing is bringing in that power out. So it could probably this year, beginning of next year it will be in. So I think all-in-all, Kipushi is managing cash costs. We've got the right feed grades. We'll have the right volume levers to build. It's a great mine. And if you guys want to come and visit it, come and have a look. It's modern. It's beautiful. It's a lovely man, as Marna says. Thank you.
Matthew Keevil: And I think now moving over to exploration, Robert, I think you'll step in here for us.
Robert Friedland: Developing these giant ore body is very similar to the way you mean an elephant, one slice at a time. Kamoa-Kakula is a super giant elephant that has been correctly developed in a series of stages and Mark mentioned the fourth stage in the distant future, there's a fifth stage and then there's the Western Portland. But Ivanhoe has always grown through our exploration, visionary exploration and looking for Tier 1 targets. Right now, we have the first drill hole going into the Mokopane feeder. You can see this target area from our Platreef shaft is very close by. This is targeting what is one of the world's largest gravity anomalies. It's an enormous gravity anomaly about 4 miles by 3 miles, roughly all void in shape. And nobody knows what it is. It's been known for years. Some of the best geologists in the world feeder refers to it as Mokopane, a potential source for the Bush belt complex. So after many years of work, we have acquired all of the farms that host the Mokopane feeder. We've run 2 generations of detailed gravity surveys and last month, we started drilling. So that's exploration with large for an extratic target. And I'm very happy to report for the first time that, the drill is turning to the right, and we've begun drilling the Mokopane feeder. In addition, we've looked at all of the African continent for more Western Foreland style sedimentary copper. And we are very enamored with the situation in Angola. As Mark mentioned, Angola is in a position to export up to 3,000 megawatts or three gigawatts of hydroelectric power. There's excess electricity in Angola. And given the visionary support the G7 nations for the Lobito corridor. Angola has superb railroad infrastructure to the Port of Lobito. So there you have power and rail. And you have hidden under the Kalahari sands that blew in from the Kalahari Desert, the potential for Western Foreland style copper mineralization. We have a 100% owned landholding in Angola, and we will begin drilling that massive land holding in the April-May season, as the seasonal rainfalls come to the end. We've seen some big rains now in Zambia, and the southern part of the African grid really needs that remain. But as you can imagine, rain that's good for filling those hydroelectric dams is not great for getting into May, this massive Angolan project can begin. And it's 100% owned by Ivanhoe Mines. And then, we've announced our old stomping grounds, Kazakhstan, a country that we're very fond of. The largest sedimentary copper basin in the world is in the Democratic Republic of the Congo. That's why -- we went there in the first place in 1995. Early and we were first. And the second largest has been in Poland, but the Polish asset is getting deeper and older and is not as attractive to us as the massive unexplored sedimentary cover basin, that it exists in central Kazakhstan, in terms of the largest copper mines in the world with other byproducts, including silver. So these tend to be giant silver bearing copper systems with other metals. And we've teamed up with a local partner, they're based in England, a private company and has top flight geologists and we've acquired a very large land package of up to 16,000 square kilometers. I did have the privilege of meeting with a foreign minister of Kazakhstan at the invitation of the United States government a few years ago in New York. He encouraged us to come into the country. And the previous iteration of Ivanhoe Mines developed gold assets that have been very successful in country and opening of the footprint in Kazakhstan with knowledgeable local partners, who worked there for many years, shows that, we can expand internationally, take our expertise in exploration and in mine development globally and continue with our ambition to build Ivanhoe mines into a Tier 1 major global integrated major mining company. Can we see the next slide, please. And opening soon at a theater near you, we're going to talk more about the Western Forelands. When you look at our earnings last year, a lot of people get cranky, because we expensed about $100 million of exploration. We drilled themes, and we're going to continue drilling this year in the Western Forelands. We haven't said much about it publicly, but in the near future, we will be telling you more about what's been going on in the Western Forelands. We'll be explaining how much we spend, but we'll also be explaining, what we're finding and what its impact would be on Ivanhoe mines. And as we prefer to talk about these citing not on conference calls, but in front of live audiences. So please get a ticket to these upcoming events, and we'll be seeing you soon to talk about the Western Forelands. Next slide, please. That really summarizes, how we've been eating these elephants one slice at a time. I want to thank all of the Congolese people who have been so dedicated to our efforts and the support of governments in our local province in the Congo and the Lualaba government, the people in the central government, the people at Snow. I want to thank Marna and her team of remarkable women, that have done so much to establish a corporate culture that has a software component that is the best in the industry. We urge all of you to read all of our reports that are independently audited on the social work we do there, the fish farming, the agricultural development and education right through the university level in our schooling, the support of our major institutional shareholders that realize a super giant major mining company is not built overnight. I want to thank everybody for their continuous support. They're going to be serving me for lunch as the keynote speaker on Monday at the Bank of Montreal Annual Mining Conference. We are also going to be going to the Bank of America in May in Barcelona, Spain. That's in a beautiful venue as well. And so, we look forward to seeing the world's largest institutional investors who are so interested in the myriad of uses for the metals we produce. And we're going to explain what metals actually go into these data centers, what metals are actually required for artificial intelligence in these data centers, then you'll be surprised what metals go into these data centers besides copper. And all of them are produced by Ivanhoe Mines. With that, I will turn this over to Matt Keevil, Matt will start fielding questions to anybody in the management team. Thank you so much.
Matthew Keevil: Thanks, Robert. Yes, we'll now begin the question-and-answer session. I'll just first and foremost, hand it back to the operator to proceed with any questions we have waiting on the phone line. And then pending time remaining, we'll look at the web for any questions on the web-based applications. Operator, could you please proceed with fielding the questions we have waiting on the phone?
Operator: Thank you. [Operator Instructions] First question on the line comes from Daniel Major at UBS.
Daniel Major: So first question, just wondering if you can make any comment around your interaction with the government. Any commentary on the M23 Rebel sort of insurgency in the northeast of the country, whether that's having any impact on regional politics.
Marna Cloete: I think our comments remain the same, as I said earlier during the presentation. It's definitely a situation that has escalated in terms of tension around the East. It is very far removed from our operations, but we do have on-site intelligence. We engaged with local authorities. We engage with national authorities. We're tracking the situation and monitoring it. And obviously, we are hoping that it stays contained to the East and do not spill further into the country. We do have full contingency plans in place should we need to put those into force. We have backup plans in place for above Kipushi and Kamoa. But obviously, it's not something that once for a country. One wants to have these sort of conflicts to be resolved through dialogue, and I think there's mounting pressure on the parties involved to engage in dialogue to try and settle this matter peacefully. And we hope that sanity will prevail and that we will get to a negotiated solution soon.
Daniel Major: Okay. Second question on Kamoa, when you provided the guidance for 2025. You mentioned the change in the mining method to more bulk mining. Can you give us a sense of how impacted the grade profile, not just this year, but over the next 2, 3 years, you mentioned peak production north of $600,000. How should we be thinking about how much north of $600,000 with the new grade profile? And a similar question on cash costs. I mean I think you previously targeted somewhere around $1.20 or so once power is restored and you hit full production using the rail corridor. Is that still where the mine should be landing in terms of cash costs medium term?
Robert Friedland: I can take the mining method and then -- and just comment and somebody can just add. So on the mining method itself, it's actually a breakthrough if you want to look at it anyway, it's actually a breakthrough. The previous method was drift and full basically taking one cut and then ramping up after full onto another cut. So it wasn't exactly the most efficient way of getting the ore body out. In this new method, we basically -- I need to actually show it to you in sequence, but you sort of developed to the end of the area, and then you use what you call long-haul stopping. And that doesn't have to be that long. You still use whatever cut-off grade you've designed. And because the ore body is bottom loaded. You use your cut-off grade to dictate how long your top holes are and your side holes are and you basically then lost that and you do automated mine link backwards. So it's remote control loading, it's modern, it's mechanized, typical long-haul methodology. And it allows you to do -- to get a lot more efficiencies out of your fleet. And it also happens to be a hell of a lot safer than what we had ramping up on top of full into a hanging wall. So all in all, let's put the mining method to be at. It's a fantastic ore body. That mining method works, it's more than tested. We're actually using it nicely. And we will apply that to everything else that we do, whether it be KamoaKansoko, that whole area will be mined in exactly the same fashion and probably the Western Forelands. What's quite interesting about this mining method is, let's say, for example, you want to choose a very low cut because you see thickness is either steeper than then you can do your development and then do like a thin long-haul touch, if you want to. So technically, it works well. It's slightly different to long-haul, typical long-haul stopping that you'll see elsewhere in the world, but it really works. It's efficient. And in terms of getting C1 cash costs down, this mining method is cheaper, much cheaper than, let's call it, the drift and fill development mining method. The other work that's got to take place is really -- it's getting the smelter running. It's getting the logistics cost down. The mining cost will come down with a new method. And then obviously, the power source, the power to get back to like clean power, hydropower, getting off the use of diesel generators. David pointed out that I think it's a $0.20 per pound impact on power if you're using the diesel mix that we use with the hydro. So longer term, we will bring the power cost down. And then the big picture stays intact. Very efficient mining, low-cost mining, bulk mining and efficiencies will be driven. I don't know, Marna, if you want to add.
Marna Cloete: No, I think that is it.
Daniel Major: Look forward to the update on the Western Forelands next week.
Operator: [Operator Instructions] The next question comes from Andrew Mikitchook of BMO Capital Markets.
Andrew Mikitchook: Thank you for a very comprehensive review here on the year-end. Can we just come back quickly to the power? And Mark, I think is it fair to say that the existing backup generation plus supplies from grid and imports, it sufficiently covers Phase I, II and III or at least has minimal impact on Phase I, II, and III mining and processing itself and that the constraints currently or recently is more as to going forward on the next step with the smelter?
Mark Farren: That's exactly right, Andrew. So Phase I, II and III, even with that we had a fire in one of the generator areas. Even with that, we can run all three phases. We do run all three phases. Even if there's a blackout, we can run everything. We can run the mines, all the mines, and we can run the 3 concentrators under any conditions. And that's why we made that decision. The big next step is obviously the smelter getting a stable power source into the smelter areas we can ramp up nicely because the smelter needs stable power. It's not really about the megawatts, it's about stability. And that work is ongoing that will be in the next quarter, I guess.
Andrew Mikitchook: And the repair of the majority of the generators that were involved in the fire that's progressing as well?
Mark Farren: Yes. It's going well. Between six -- you can work on six and nine months, six months by the end of this year, quarter one at the very latest, everything will be restored. So I think we start handing over generators in September, October. Yes, September at the latest October the bulk of them will be restored and then there's a few other pieces of work that will carry on. But yes, within a year, everything six to nine months, we should have everything running.
Andrew Mikitchook: If I could indulge in one more question on exploration. It's good to see a ramp-up on various portions of the portfolio. Wondering if there are any thoughts for Kipushi, chasing some of the high-grade copper or finding similar byproduct metals?
Marna Cloete: Maybe I can just step in here. We have certain rights that we are entitled to under our revised joint venture agreement. And that basically is contained to what was included in our feasibility study that was published on Kipushi. So exploration outside of that area falls under the revised joint venture agreement and would be for the economic benefit of mainly Gecamines. But we are studying introducing a corporate circuit which we will negotiate with Gecamines and that would be copper that's contained within the current footprint area. But it's something that's still under review. So we are actively looking at additional income streams for Kipushi but it would not include a bigger exploration program outside of the current footprint area at this point in time.
Operator: We have no further questions on the line. I'll turn the call back over to Matthew Keevil.
Matthew Keevil: Thanks very much, operator, and thank you, everyone, for attending today. We've already run a little bit over time, so we'll just wrap up the call here. I'd again like to thank you for joining us today, and I look forward to all the exciting things we'll be speaking about in 2025. And as Robert mentioned, we look forward to seeing everyone next week at the BMO Conference. So have a great day, and operator, you can wrap it up.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.